Operator: Ladies and gentlemen, thank you for standing by and welcome to the Matthews International Third Quarter Financial Results Conference Call. For the conference, all participant lines are in a listen-mode. There will be an opportunity for your questions. Instructions will be given at that time. [Operator instructions] As a reminder, today's call is being recorded. I'll turn the conference now to Mr. Steve Nicola, Chief Financial Officer. Please go ahead, sir.
Steve Nicola: Thank you, John. Good morning. I’m Steve Nicola, Chief Financial Officer of Matthews. Also on the call this morning is Joe Bartolacci, our Company’s President and CEO. Today’s conference call has been scheduled for one hour and will be available for replay later this morning. To access the replay, dial 1-320-365-3844, and enter the access code 426391. The replay will be available until 11:59 PM, August 11, 2017. We have posted on our website, which is www.matw.com, the third quarter earnings release and financial information we will discuss this morning. The earnings release can be found on our home page for the quarterly financial data, on the top of our home page under the Investor tab, click on Investor News, then click on Financial Reports to access the information under the section Matthews International Quarterly Reports. Before beginning this discussion, at the advice of legal counsel, I have been advised to read the following disclaimer as it relates to forward-looking statements. Any forward-looking statements in connection with this discussion are being made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks and uncertainties that may cause the Company’s actual results in future periods to be materially different from management’s expectations. Although the Company believes that the expectations reflected in such forward-looking statements are reasonable, no assurance can be given that such expectations will prove correct. Factors that could cause the Company’s results to differ from those discussed today are set forth in the Company’s annual report on Form 10-K and other periodic filings with the SEC. To begin the conference, I'll review the financial results for the quarter, Joe will then provide general comments on our operations. Following that, we will open the discussion for questions. For the quarter ended June 30, 2017, the company reported earnings of $0.91 per share compared to $0.73 per share a year ago. On a non-GAAP adjusted basis, earnings per share for the fiscal 2017 third quarter were $1.05 compared and $0.97 a year ago representing an increase of 8.2%. The significant factors in the year-over-year improvement in earnings per share included, higher sales of cemetery memorials and cremation equipment, sales growth in our U.K. and Asia Pacific brand markets, continued synergy realization from acquisitions, the benefit of ongoing productivity initiatives and a lower consolidated effective income tax rate. For the nine months ended June 30, 2017, the company reported earnings of $1.64 per share compared to a $1.30 per share a year ago. On a non-GAAP adjusted basis, year-to-date earnings per share at June 30, 2017 were $2.50 per share compared to $2.31 per share a year ago. Consistent with the results for the third quarter, the significant factors in the year-to-date improvement in earnings per share included, increased sales of cemetery memorials and cremation equipment, higher sales in our U.K. and Asia-Pacific brand markets, continued synergy realization from acquisitions, the benefits of ongoing productivity initiatives and a lower consolidated effective income tax rate. Year-to-date earnings also reflected a significant increase in stock compensation expense. As we noted in the first quarter as several members of management reach retirement eligible status, the accounting rules require accelerated expense recognition of awards, versus an amortization over the stipulated vesting period. This change had an unfavorable impact of $0.07 on the fiscal 2017 first quarter compared to a year ago. In addition, year-to-date costs for the product development project in our industrial technology segment were approximately $0.03 per share higher than a year ago. In addition, changes in foreign currency rates unfavorably impacted year-to-date earnings by an additional $0.03 compared to last year. Adjusted for the impacts of the accelerated stock compensation expense, increased product development project cost and unfavorable currency changes, our year-to-date non-GAAP earnings per share increased approximately 14%. Consolidated adjusted EBITDA for the nine months ended June 30, 2017 was $174.6 million compared to $170.1 million a year ago, representing an increase of $4.5 million. Year-to-date consolidated adjusted EBITDA as a percent of sales was 15.6% as of June 30, 2017, compared to 15.4% last year. A reconciliation of non-GAAP earnings per share and adjusted EBITDA were provided in our press release yesterday, which has been posted to our website. A significant portion of the non-GAAP adjustments continues to include costs and other charges in connection with the integrations of acquisitions, including our ERP integration and implementation. In addition, acquisition-related costs included charges incurred in connection with our recent acquisition including related asset step-up expense. Other non-GAAP adjustments for the current quarter and year-to-date periods included loss recoveries net of costs of $0.20 per share. The recovery relates to the previously disclosed theft of funds that was identified two years ago. Consolidated sales for the quarter ended June 30, 2017 were $389.6 million compared to $382.1 million a year ago, representing an increase of $7.5 million. The improvement reflected an increase in sales of cemetery memorials and cremation equipment, higher sales of marketing products and OEM solutions for the industrial technology segment and the benefit of recent acquisitions. In addition, SGK brand solution sales in the U.K. and Asia-Pacific markets were higher for the recent quarter. Changes in foreign currency exchange rates had an unfavorable impact of $5.5 million on the company's current quarter consolidated sales compared to a year ago. The company's consolidated sales for the nine months ended June 30, 2017 were $1.12 billion compared to $1.1 billion a year ago. The growth in year-to-date consolidated sales resulted primarily from an increase in sales of cemetery memorial products and cremation equipment, higher sales in the U.K. and Asia-Pacific brand markets and increase in merchandising sales and the benefit of recent acquisitions. Changes in foreign currency exchange rates had an unfavorable impact of $16.3 million on the company's current year-to-date consolidated sales, compared to a year ago. Sales for the SGK Brand Solutions segment were $200.6 million for the current quarter, compared to $199.6 million for the same quarter a year ago. Sales growth in the U.K. and Asia Pacific markets and the impact of recent acquisitions were partially offset by lower branch sales in North America and Europe. Currency exchange rate changes had an unfavorable impact of $4.9 million on the segment sales for the quarter compared to a year ago. Year-to-date sales for the SGK Brand Solutions segment as of June 30, 2017 were $566.5 million compared to $562.3 million a year ago. Currency exchange rate changes had an unfavorable impact of $14.8 million on the segment sales for the current nine-month period compared to a year ago. The SGK Brand Solutions segment reported operating profit of $11.4 million for the current quarter compared to $17.9 million for the same quarter a year ago. Charges related primarily to the acquisitions and acquisition integration activity were $4.8 million for the current quarter, compared to $3.8 million last year. Lower sales in North America and Europe coupled with unfavorable changes in product mix and currency rates were the primary factors in the year-over-year reduction and operating profit for the quarter. For the nine months ended June 30, 2017, the SGK Brand Solutions segment reported operating profit of $19.9 million compared to $26.1 million a year ago. Charges related primarily to the acquisitions including asset step-up expense and integration activity were $17.9 million for the current year compared to $18.7 million last year. Memorialization segment sales for the fiscal 2017 third quarter were $155.8 million compared to $152.8 million for the same quarter a year ago. The segment reported higher sales volumes of cemetery memorial products and cremation equipment in the current quarter, which were partially offset by lower cash curtails reflecting an estimated decline in U.S. casted deaths. For the nine months ended June 30, 2017, Memorialization segment sales were $463.6 million compared to $457.8 million a year ago. Operating profit for the Memorialization segment for the fiscal 2017 third quarter was $23.5 million compared to $20.9 million for the same quarter a year ago. The increase reflected the impact of higher sales and the benefits of acquisition synergies and ongoing productivity initiatives. In addition, charges, primarily in connection with the Aurora acquisition integration and ERP integration and implementation were $2.3 million for the current quarter, compared to a net charge of $84,000 last year. Operating profit for the memorialization segment for the nine months ended June 30, 2017 was $60.8 million compared to $48.1 million a year ago. The increase reflected the impact of higher sales and the benefits of acquisition synergies and ongoing productivity initiatives. Charges primarily in connection with the Aurora acquisitions integration and ERP integration and implementation were $7 million for the current quarter, compared to $8 million last year. The prior year also included the impact of inventory step-up expense. The industrial technology segment reported sales of $33.2 million for the quarter ended June 30, 2017, compared to $29.6 million for the same quarter last year. The current quarter reflecting higher sales of marketing products including OEM solutions and the benefit of recent acquisitions, offset partially by lower sales of fulfillment system. For the nine months ended June 30, 2017, the industrial technology segment reported sales of $89.5 million compared $83.4 million last year. The industrial technology segment reported operating profit of $1.9 million for the current quarter compared to $1.9 million for the same quarter last year. The benefit of higher sales for the current year were offset by the impact of an unfavorable change in product mix and higher product development costs. The segment's year-to-date operating profit at June 30, 2017 was $2 million compared to $5 million last year. Product mix for the fiscal year-to-date period was impacted by the delay of the significant fulfillment project originally scheduled for the fiscal 2017 second quarter. In addition, the segment incurred acquisition-related charges of $753,000 for the nine months ended June 30, 2017, compared to $229,000 a year ago. A summary of operating results by segment including non-GAAP adjustments for the quarter are posted on our website for your reference. Gross margin for the quarter ended June 30, 2017 was 37.4% of sales compared to 38% a year ago, primarily reflecting the impact of lower sales in the North America and Europe brand markets. Gross margin for the nine months ended June 30, 2017 was 37.1% of sales compared to 37.5% a year ago. Selling and administrative expense for the current quarter was 27.5% of sales compared to 27.4% for the same quarter last year. Year-to-date selling administrative expense for fiscal 2017 was 29.2% of sales compared to 29.9% last year. The year-to-date decline primarily resulted from cost initiatives including acquisition synergy realization and a reduction in acquisition-related costs. Investment income for the fiscal 2017 third quarter was $431,000 compared to $524,000 a year ago. Year-to-date investment income June 30, 2017 was $1.5 million compared to $1.5 million a year ago. Investment income for both periods reflects investment performance on assets sales and trust for certain of the company's benefit plans. Interest expense for the current quarter was $7 million compared to $6.3 million for the same quarter last year. Interest expense for the nine months ended June 30, 2017 was $19.8 million compared to $18.1 million last year. The increase resulted primarily from higher average interest rates this year and additional borrowings as a result of the recent acquisitions. Other income net for the fiscal 2017 third quarter was $7.9 million compared to $460,000 a year ago. For the nine months ended June 30, 2017, other income net was $7.2 million compared to a net deduction $606,000 a year ago. Other income for the current quarter and year-to-date periods included loss recoveries net of costs of $9.4 million. Other income and deductions generally include among other items, banking-related fees and the impact of currency gains or losses on certain company debt. The company's effective income tax rate for the nine months ended June 30, 2017 was 26% of pretax income. This rate reflects the benefits of organization structuring primarily in connection with the integration of recent acquisitions and certain favorable tax benefits and utilization of certain tax attributes, specific to the current year. The effective tax rate was 30.5% for fiscal year ended September 30, 2016. At June 30, 2017, the company's consolidated cash was $56.8 million compared to $55.7 million at September 30, 2016. Accounts receivable at the end of the current quarter was $307 million compared to $295 million at September 30, 2016. Consolidated inventories at June 30, 2017 were $180 million compared to $162 million at September 30, 2016. The increases in accounts receivable and inventories primarily related to the impact of acquisitions completed during the current fiscal year. Long-term debt at the end of the current quarter including the current portion approximated $942 million compared to $873 million at September 30, 2016. The increase primarily resulted from additional borrowings for the company's recent acquisitions. Outstanding borrowings under the company's domestic credit facility at June 30, 2017 were approximately $782 million. At June 30, 2017, the company has remained borrowing capacity of approximately $355 million under this facility, subject to the company's net leverage ratio. The facility has a maturity date in April of 2021. Additionally, as we previously disclosed, we received a claim in September 2014 seeking to draw upon a letter of credit issued by the company of £8.6 million with respect to a performance guarantee on a project for a customer in Saudi Arabia. We assess the customer's claim to be without merit and accordingly initiated an action with the court. Pursuant to this action, a court order was issued in January 2015 requiring that upon receipt by the customer, the funds were to be remitted by the customer to the court, pending resolution of the dispute between the parties. As a result, the company made payment on the draw to the financial institution for the letter of credit and the funds were ultimately received by the customer. The customer did not remit the funds to the court's order. On June 14, 2016 the court ruled completely in favor of Matthews following a trial on the merits. However, as the customer has not yet honored this court quarter and remitted -- the customer has not yet honored this court order and remitted the funds. If the customer's noncompliance with the court order continues for the major of this fiscal year, the company will reassess collectibility-related to this matter. Accordingly, it is possible that this matter could have an unfavorable impact on Matthew's results of operations. The company had approximately 32.2 million shares outstanding at June 30, 2017. Year-to-date the company has purchased approximately 174,000 shares under its share repurchase program at a cost $11.7 million. At June 30, 2017, approximately 1.9 million shares remained under the current share repurchase authorization. Depreciation and amortization expense for the current quarter was $18.5 million compared to $17.1 million a year ago. Year-to-date, depreciation and amortization expense was $50.8 million for the current year compared to $49.3 million a year ago. Capital expenditures for quarter ended June 30, 2017 were $19 million compared to $18.8 million a year ago. For the nine months ended June 30, 2017, capital expenditures were $32.2 million compared to $32.7 million a year ago. Finally, the Board last week declared a dividend of $0.17 per share on the company's common stock. The dividend is payable August 14, 2017 to stockholders of record at July 31, 2017. This concludes the financial review and Joe will now comment on our operations.
Joe Bartolacci: Thank you, Steve. Good morning. Our third quarter was another good quarter for our businesses. During the quarter, our memorialization segment delivered strong results, which helped us achieve our goal driven largely by cemetery products and cremation equipment sales, which each had strong revenue and operating profit improvement over prior year. In addition, we continue to benefit from good synergy capture and funeral home products where we still have at least $10 million of synergies to be realized. Recent acquisitions added revenue to brand solutions and our industrial technology segment, but only contributed modestly to our bottom line while we are in the early stages of integration. In Brand Solutions, we continue to see strong results out of our U.K. and our Asian operations while Europe, particularly Germany struggled with difficult year-over-year comparisons. In the third quarter of fiscal 2016, the European Union tobacco directive, which required pictures and notices to be incorporated in all tobacco products was still in full force. That regulatory initiative drove strong volumes through a relatively fixed overhead in Germany, but is substantially complete at this time. The end of the tobacco initiative brought a temporary slowdown in tobacco packaging refresh and marketing as many of those efforts were incorporated into the new packaging associated with the regulatory initiative. In North America, the consumer packaged goods market continues to be sluggish, as many of our clients struggled to find topline growth, constraining marketing spend. As you may be aware, the limitation of the Federal Labeling Modernization Act has been deferred until 2021, thus eliminating the urgency of many CPGs to update their packaging. We believe that this could be an opportunity as we hope that this action will free up our clients to move forward with more normalized packaging refreshing and product innovation, but time will tell. Regarding our recent acquisitions, we are approaching the end of our initiatives on SGK and expect integration expenses to be substantially completed in the next quarter or two. Aurora on the other hand, is expected to continue to incur significant integration cost, largely over the next 12 to 18 months, while several smaller acquisitions have just begun to be integrated. All integrations are moving along as planned and we expect the remaining synergies in all acquisition to be in the range of $15 million to $20 million. Our industrial technology business again saw strong equipment in sales for the quarter, reflecting the past innovation and product development efforts in the business. The overall operating performance of the group was reduced by $1.9 million of spending associated with the new products, which we have been discussing for a while. Although we are not prepared to speak openly about the new product, we can share with you that we believe that it will address the needs of $1.5 billion market with a solution, which we believe can be disruptive. The product will replace products, which we currently sell, but which are noncompetitive given our current scale. Assuming our development continues to move in the right direction, we expect our new product to launch in calendar 2018. The product development remains on track both in terms of timing and total investment, which we expect to be around $7 million this year. Again, this quarter, we had strong cash flow performance with almost $100 million of cash flow generated on a year-to-date basis, excuse me, operating cash flow. Moreover, recent acquisitions have afforded us opportunities to structure our businesses to maximize the tax benefits and I am pleased to report that today we believe that our effective tax rate going forward at current rate is around 31% as significant improvement from just a few years ago. Looking at the balance of 2017, we remain confident of our ability to achieve our goals and deliver our non-GAAP EPS in line with our expectation. We remain cautious of our given uncertainty around death rates and continuing sluggishness in some of our brand markets. Nonetheless, we remain pleased with the long-term direction of all of our businesses and the investments we made to date. With that, let's open it up to questions.
Steve Nicola: For those of you, who will be asking questions, we request that you limit them to one question and a follow-up question until all those who wish to participate in the Q&A session have had an opportunity to do so. John?
Operator: Thank you. [Operator instructions] First, we'll go to the line of Daniel Moore with CJS Securities. Please go ahead.
Daniel Moore: Good morning, Joe. Good morning, Steve.
Joe Bartolacci: Hey Dan.
Steve Nicola: Good morning, Dan.
Daniel Moore: I want to start with, you gave some good detail and color Joe on Brand Solutions business maybe talk individually about Europe, what you're seeing there just a ballpark organic growth, what that looks like and your expectations going forward, do you have all those comps from the tobacco initiative linger for a couple more quarters and similarly for North America your midterm outlook and I have one follow-up, thank you?
Joe Bartolacci: Sure. As we look at our European business, the U.K. is moving nicest forward, I would say low single-digit topline growth and improvements from some of the acquisitions that we've recently done over there should make that even better over time on the bottom line. In the mainland of Europe where we are predominantly a reviewer-based business what we saw was the comparatives as we set out -- as I said in my discussion, in Germany in particular, where the tobacco initiatives were very, very strong and we did every country across Europe, 26 different countries, we ended up having very difficult comparatives year-to-year. We think that will start to normalized more so than it did in this quarter, over the course of the first quarter second quarter of next year as we're still challenged with facing difficult comparisons, but the positive news on that Dan is we think that's just a matter of timing. A quarter will not change it for us. We saw very little tobacco business coming through in this quarter. That is not normal. We'll see a little lighter volume in this fourth quarter as well and then we'll get back to normal routine. It probably will not be at the peaks we saw over the last 18, 24 months in that business, but they will still be much more than we've seen today. Excuse me, on the North American side, we're still seeing, we're seeing sluggishness. If you look at our clients, our top clients, our CPGs around the world headquartered here in the United States, they're struggling for topline growth and marketing spend has been constrained. As I said in my comments FLMA being pushed out, actually maybe a good thing because many of them were holding back on what they're going to do from a marketing standpoint to figure out what's going to come out of this packaging refresh rather have to do it twice. We think that might free up some initiatives, but we also think that the only way for the CPGs is to find topline growth is through innovation and marketing and we think that will return some normalcy, maybe not what we would like to see but more so than we've seen in the last 12 to 18 months.
Daniel Moore: Very helpful and just turning gears to the memorialization business, they saw nice uptick obviously in the quarter, moves up the drivers there and on the margin, front it's particularly good despite rising copper prices, do we expect to see some moderate pinch go forward over the next couple quarters, given those uptick in raw material cost.
Joe Bartolacci: So, the team particularly on the cemetery product side has done a great job of recovering some of the business we had lost during the last several years on the SAP implementation. That continuing to roll forward nicely forward. But the big driver there has been an effort by some of our larger accounts to move forward on what we call preneed sales and you saw that in the service parts reported recently. They had good results driven largely on the cemetery side. You see how when they're focused on the initiative of preneed sales, we are the beneficiaries of that as well. That has turned out to be good for us and we think that will be a longer-term trend that will carry several years as a refocus on that side. We think there's also been good results out of -- we know there has been good results our of our what we recall our stone business, our brand of business. That business continues to improve and has become a great addition to our portfolio. As we start to gain more market share across the United States or other little acquisitions we'll be tucking in and we think that continues to see topside growth for us as we can do that as well. The commodity side we're okay for the balance of this year. We'll start to see some pinch going into next year relative to that, but the timing of our price increases generally occur at the beginning of the calendar year. So, any significant pinch on the copper side will probably be able to offset with our -- the opportunities that we are going to get in pricing. We also have a couple opportunities and continue to improve on synergy side from a funeral and product side and as we -- although revenues on the topside for funeral homes were modestly down relative to the prior year because of death rates, we think that that will return, but the team has done a great job and continues to execute right in line with what we have expected on the synergy side. So that is a positive story as well.
Daniel Moore: Appreciate the color. Thank you.
Operator: Next, we'll go to Scott Blumenthal with Emerald Advisors. Please go ahead.
Scott Blumenthal: Good morning, Joe. Good morning, Steve.
Joe Bartolacci: Hey Scott. How are you?
Scott Blumenthal: Doing great. Memorialization margin was really good even with a little bit of a headwind there in casket, but he SDK margins that was a little bit rusty, maybe you can parse out some of the costs that were in there, the integration cost related to SDK and maybe some of your more recent acquisitions and I would like to know what's really going on under the hood there?
Steve Nicola: So, Scott, just from a comparative standpoint year-to-date what I'll call those extra costs were $7 million this year compared to about $8 million last year from the SGK perspective. So that gives you some flavor, but the real impact on margins year-over-year when you take out those extra costs were just did the headwinds in North America and Europe on a top line.
Scott Blumenthal: Okay. And do you expect at some point maybe a little normalization there because when you look at the operating margins in the SGK business were down 350 basis points year-over-year. It looks like a real struggle.
Joe Bartolacci: Scott, the business in Europe as it relates to the back side that we mentioned earlier is a more profitable business for us than our traditional business. So that you're going to have some of the impact as well. I would tell you that we'll see improvements on the margins from where we are today but at the end of the day, it's the mix of business that comes through that is determinable our margins.
Steve Nicola: Yeah and Scott, one of the other things to mention too is as we continue to acquire the intangible amortization cost is an impact on margins as well and that continues to go up. So just on a quarter-over-quarter basis for SGK it was an additional $1 million year-over-year for the quarter along.
Scott Blumenthal: Okay. And are you able to give us any insight into what costs were for the other acquisitions equator or are you uncomfortable Steve?
Steve Nicola: The actual, the purchase price themselves?
Scott Blumenthal: No, some of the step-up cost that were related to that, that might hit margins in the quarter?
Steve Nicola: Step-up costs for the quarter really for this quarter, really weren’t that significant. The step-up cost related to the Aurora acquisition for example would have been last quarter. If the question you're asking Scott is what is the impact on our margins relative to these recent acquisitions? I would tell you that Aurora, which is a fairly large acquisition somewhere near $30 million did not operate at the same EBITDA margins that the SGK Group as a whole did. So, they would compress a lot of the margin you're speaking of. We expect post integration and that's part of that $15 million to $20 million of synergies yet to come to bringing the margins closer to where we are on the brand solution side. As a group, that whole group should operate somewhere in the high teens from an EBITDA margin. Some of the recent acquisitions are not there yet. And Scott just to add to the number to what I had said earlier, so with respect to that acquisition, the step up, the inventory step-up expense related to it last quarter was about $1.8 million, nothing this quarter. Now we're still also in addition amortization expense we have incremental step-up depreciation expense, which rolls off eventually too and that's just ballpark about $0.5 million per quarter added for that expense.
Scott Blumenthal: And that will go on how much longer?
Steve Nicola: Off the top of my head Scott, I don't know, but those are on regular fixed assets. So that could be anywhere from three to five years on average. I would tell you Scott to look at it from this perspective. Those acquisitions we expect to be in the mid to high teens as well post integration from an EBITDA margin. The balance of the business is operating in the 18% is 19% as a group as we look at it. So, we would -- for us as we look at these businesses because of the amount of acquisitions we have gone and the amount of integrations that are going on, we look at it at an EBITDA margin basis from a target where we want to be and that's where we think -- that's where our plans will put us. Some of these integrations have about 18 to 24 months of timeline yet to go.
Scott Blumenthal: Okay. Thank you.
Operator: Our next question is from David Stratton with Great Lakes Review. Please go ahead.
David Stratton: Good morning. Thank you for taking the questions.
Joe Bartolacci: Good morning, David.
Steve Nicola: Good morning, David.
David Stratton: When we look at the quarter customer issues that you're having, if they continue to refuse to acknowledge that, what's the quantifiable effect of that on your future results if you mind break that out?
Joe Bartolacci: So, we made a payment under that letter credit several years ago of £8.6 million, approximately £8.6 million British pounds. So that's the potential impact.
David Stratton: Okay. And then if you would mind revisiting the group level Legalization Act and how you see that playing out, just to make sure I understand it correctly. So, you think that this delay is a good thing because they're going to get a full extra refresh and not relating to the Legalization Act or maybe an incremental step toward that eventual regulation?
Joe Bartolacci: Look, from our perspective, clearly, it's not a good thing the deferrals. So, I don't want to put anybody's mind that the fact they push us up was a good thing. That's not the message. The message is that we believe many of our clients have postponed packaging refreshing as they were trying to incorporate both of the refresh as well as the labeling requirements. Now that, that labeling requirements have been pushed out, we don't think everybody is going to three more years to refresh the packaging. So, we expect that we'll get to a more normalizing, it may not be exactly what we want, we can't tell the timing of it, but we do think we'll start to see some loosening up of the purse-strings as it relates to marketing dollars on packaging refresh before 2021.
David Stratton: Got you. All right. Thank you for the clarification.
Operator: And we do have a follow-up from Dan Moore. Please go ahead.
Daniel Moore: Yeah, I wanted to at least prod you to tell us as much as you could about the new product that's embedded has I guess specifically as it relates to P&L $7 million invested this year. How much of that is capitalized? How much is expensed? Would you expect that level of incremental investment next year? And anything you could say about the product and/or the opportunity would be great?
Steve Nicola: So, Dan because of the nature of the spend, since it's basically product development, research and development, it all goes to the income statement. So that $7 million number that we reference as an estimate for this fiscal year, will all be income statement. And we've not adjusted earnings forward. So, as we speak about it, we're absorbing those costs in the reported earnings that we're giving you both on a non-GAAP and a GAAP basis. So, we view that as a long-term investment that's going to benefit us. In terms of the products, we love to speak too much about it. It will be in the market here soon enough, but we remain very, very bullish on what it can do and the market that are confronted. I identify my comments, we think the market is about $1.5 billion and we're taking a very different tack at approaching that market. We serve that market today and frankly given our scale in that segment of the market, we're not very competitive and we think this leapfrogs a lot of the competition out there and over time should be a very, very strong product for us. And then, just any preliminary look at spend it relates and do you expect that to take lower or to have at similar level next year? The interesting thing is Dan, it will probably take modestly lower, but not significantly, but we expect to start to see some revenue on the topline to offset some of that. Right now, it's just -- it's not adding anything to us. It's just taking. So, we expect topline -- the benefit on the topline to somewhat offset the impact of that $7 million or so charges that we may have next year.
Joe Bartolacci: And Dan, the answer to that is going to be dependent on product launch date too because once we hit product launch, then you're talking about our revenue and cost of sales versus cost only product development item. We've said before, this group has done a great job from a strategic standpoint of positioning both the business and individual products within that. We think that this is a great, great long-term opportunity for us.
Operator: We do have a follow-up from Scott Blumenthal. Please go ahead.
Scott Blumenthal: Hey. Joe, you mentioned a fulfillment project that was delayed. Does that have anything to do with this new product that you're developing, maybe your customer has seen that…
Joe Bartolacci: No. No. I wish it was Scott. If that were the case, I would be the first one to tell you, but no, that's just the timing on the customer side as when they want to do the project within their warehouses and as you know on a lot of these fulfillment projects as we've said, as you move into the latter part of the summer and move into the fall pre-Christmas, nobody wants you in their warehouse. This is when -- this is busiest time of the season for a lot of retailers and brands. They don't want you in your warehouses as re-automating everything. That probably gets pushed off into the beginning of Calendar 18.
Scott Blumenthal: Okay. So that we're not going to see in this current fiscal year as a result.
Joe Bartolacci: Our current, our current expectation is no and that was a relatively large project that was incorporated in our forecast early on.
Scott Blumenthal: Okay. And just to clarify Steve, the new product R&D cost that you were talking about, those do appear in the operating margins, depressing the operating margins in the industrial technology segment right.
Steve Nicola: Yes, they do.
Scott Blumenthal: Okay.
Steve Nicola: Yes, Scott, when we look at business ex those expenses, we're looking at mid-to-high teens business as well.
Scott Blumenthal: Got it. Just wanted to make sure that I was looking at that correctly and that's not coming through because we were discounting our existing products or anything like that.
Steve Nicola: Scott, just while we're on numbers, I need to correct two numbers that I gave you before, when referencing the year-to-date SGK, I'll call it non-GAAP charges, that $18 million year-to-date in the current year and $19 million approximately $19 million last year, I think I gave you smaller numbers in that before.
Scott Blumenthal: Okay. Yes. That's really helpful. Thank you, Steve. I appreciate it.
Operator: And we have no further questions in queue.
Joe Bartolacci: Great. Well, we would like to thank everyone for participating in our call this morning and we look forward to our fourth quarter earnings release and conference call in November of this year. Thank you and have a great day.